Operator: Ladies and gentlemen, thank you for standing by and welcome to the Jabil Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I’d now like to turn today’s presentation over to Ms. Beth Walters, Senior Vice President of Communication and Investor Relations. Please go ahead ma’am.
Beth Walters: Thank you. Welcome to our fourth quarter of 2012 earnings call. Joining me today are President and CEO, Timothy Main, and Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website, Jabil.com, in the Investor section. Our fourth quarter press release and corresponding webcast slides are also available on our website. In these slides, you will find the financial information that we cover during this conference call. We ask that you follow our presentation with the slides on the website and beginning with slide 2, our forward-looking statements. During this conference call, we will be making forward-looking statements including those regarding the anticipated outlook for our business, our currently expected first quarter of fiscal 2013 net revenue and earnings results, our long-term outlook for our Company, and financial performance. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2011, on subsequent reports on Form 10-Q and Form 8-K, and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today’s call will begin with our fourth quarter and full fiscal year 2012 results, highlights and comments from Forbes Alexander, as well as guidance on our first quarter of 2013. Tim Main will follow on with macro environment and Jabil specific comments about our performance, our updated long-term guidance and our current outlook. We will then open it up to questions from call attendees. As a remainder, we cannot discuss customer specific programs and relationships and we will not be doing so on today’s call. I will now turn the call over to Forbes.
Forbes I.J. Alexander: Thank you, Beth and hello everyone. I ask you to start with slide 3. Net revenue for the fourth quarter was $4.3 billion, an increase of 1% on a year-over-year basis. GAAP operating income was $144.2 million or 3.3% of revenue, which compares to $165.5 million of GAAP operating income on revenues of $4.3 billion or 3.9% for the same period in the prior-year. GAAP diluted earnings per share with $0.39. Core operating income excluding amortization of intangibles, stock-based compensation, and a distressed customer charge decreased 6% to $175 million, and represented 4% of revenue. This compares to $187 million, or 4.4% for the same period in the prior-year. Core diluted earnings per share was $0.54, a decrease of 13% over the prior-year. Please note that our GAAP operating results were negatively impacted by approximately $5.9 million during the quarter, as a result of charges taken connected to our solar business. These charges were isolated with one customer. Given the very difficult industry conditions, we’re operating with an abundance of caution with any solar or solar related opportunity with strict contractual operating agreements in place. Now I’d ask you to turn to slide 4. In the fiscal 2012, net revenue was $17.2 billion, an increase of 4% on a year-over-year basis. GAAP operating income increased 7% to $622 million, representing 3.6% of revenue. This compares to $579 million for operating income on revenues of $16.5 billion and 3.5% of revenue in fiscal 2011. Diluted earnings per share was $1.87, an 8% increase over the prior-year. Core operating income excluding amortization of intangibles, stock-based compensation, loss on disposal subsidiaries, settlement of receivables and related charges increased 3% to $736 million and represents 4.3% of revenue. This compares to $715 million or 4.3% for the same period in the prior-year. Core diluted earnings per share was $2.40, an increase of 3% over fiscal 2011. I’d now ask you to turn to slide 5 to discuss our fourth quarter segment performance. In the fourth quarter, our Diversified Manufacturing Services segment grew 14% on a year-over-year basis, driven by continued strength in Specialized Services, growth in Instrumentation & Healthcare offset by softening of demand in Defense and Aerospace and Industrial & Clean Tech. The Enterprise & Infrastructure segment declined 5% on a year-over-year basis. Revenue was approximately $1.3 billion representing 30% of total Company revenue in the fourth quarter. Core operating income for the segment was 2.4%, an improvement of 20 basis points on a sequential basis. We expect to see continued positive progression during the course of fiscal 2013 with regards to operating performance. The High Velocity segment decreased 10% on a year-over-year basis, driven by continued weakness in handset volumes. Revenue was $1.1 billion, representing approximately 25% of total Company revenue in the quarter. Despite large declines in our handset business, core operating income for the segment remained 3.8% of revenue. I now ask you to turn to slide 6, for discussion of our segment performance on a yearly basis. In fiscal 2012, our Diversified Manufacturing Services segment grew 24%. Revenue was approximately $7.5 billion, representing 44% of total Company revenue. Core operating income was 6.1% of revenue for the full-year. The Enterprise & Infrastructure segment decreased 2% in fiscal 2012. Revenue was approximately $5.1 billion representing 29% of total Company revenue. Core operating income was 2.1% for the full-year. The High Velocity segment decreased 14%. Revenue was approximately $4.6 billion representing 27% of total Company revenue. The core operating income was 3.8% for the full-year. Total Company revenue grew 4% with core operating income for the year at 4.3%. For the full fiscal year there were three 10% customers, Apple, Cisco and RIM. And for fiscal 2013 we currently expect to have one 10% customer within our diversified manufacturing Services segment. I would now ask you to turn to slide 7, where I like to review some of our balance sheet metrics. We ended the fiscal year with cash balances approximately $1.2 billion. The cash balance reflects $443 million of cash flow from operations in the fourth fiscal quarter. $500 million of proceeds from a recent 4.7% senior secured – unsecured notes offering and the subsequent pay down of $240 million of revolver subsidiary debt. As a result of our successful bond offering, net interest expense were increased by approximately $20 million equivalent to $0.09 of earnings per share in fiscal 2013 versus that in fiscal 2012. In the quarter our inventory decreased by approximately 5% to $2.3 billion while inventory turns remained at 7. EBITDA in the quarter was $263 million or $1,073 million for the full fiscal year, representing 6.3% of revenue, a 20 basis point expansion over the prior fiscal year. For the year we purchased approximately 3.2 million shares, totaling $71 million, $29 million remains available under this stock repurchase authorization. Our GAAP return on invested capital was 22% for the full fiscal year. Let’s take a moment on slide 8, to discuss our capital investments. The capital expenditures during the fiscal year – excuse me, capital expenditures during the quarter were approximately $202 million, $481 million for the fiscal year. Of the $481 million 70% was related to investments in our Diversified Manufacturing Services segment. Our fiscal 2013 expectations, the capital expenditures should be in the range of $400 million to $500 million, depending on levels of capacity and production and consistent with fiscal 2012 70% of the spend will be directed towards our Diversified Manufacturing Services segment. We currently expect minimal investments in our Enterprise & Infrastructure and High Velocity segments. For the first fiscal quarter of 2013, the capital expenditures are estimated to be in the range of $175 million to $200 million, depending on the timing of completion of our infrastructure and capacity expansions. Last quarter I discussed expansion of our capacity in our Specialized Services sector. The additional square footage in Wuxi, China has been completed and shall be fully occupied in the coming weeks. As you will recall, we signed an agreement to establish a site in Chengdu, China. The first phase of this construction is anticipated to be complete late in the calendar year. Turn to slide 9, I would like to discuss our cash flows. We’re pleased with our operating cash flow performance in fiscal 2012. Cash flow from operations for the fiscal year were $634 million, with cash flows after capital expenditures of $152 million. As a result of anticipated EBITDA expansion and continued working capital management, we currently estimate the cash flows from operations in fiscal 2013 will be $1 billion, with cash flows after capital expenditures in the range of $500 million to $600 million. From a liquidity standpoint, we’re extremely well positioned to support business with further investment, seek acquisitions that would enhance our capabilities in key areas and return capital to shareholders via our ongoing dividend and stock repurchase programs. Our Board of Directors has authorized the repurchase of up to $100 million of shares during the next 12 months. This authorization is consistent with our fiscal 2012 actions to minimize the impact of equity issuance and diluted share count. I’d remind you that $20 million remains available on the previous authorization. I now ask you to refer to Slide 10, where we will discuss our segment targets. Beginning in fiscal ’13, we feel it’s appropriate to reset some of our long-term targets to better reflect the current dynamics within our operating segments. The Diversified Manufacturing Services segment, we believe a 15% growth is an appropriate expectation on an organic basis. Our new core operating income target is 5.5% to 7%. For the Enterprise & Infrastructure segment, we’re slightly reducing our core operating target to 3% to 4%, with our revenue growth expectation for this segment being in the range of 0% to 5%. Conversely we’re increasing our core operating target to the High Velocity business to 2.5% to 3.5% range, as a result of operational efficiencies and high levels of execution. Our revenue expectation for this segment is in the range of 0% to 5%. Tim will provide some further color regarding these new targets in his section of the call. On an overall Company basis, we still believe a 5% core operating margin is attainable and realistic as the profile of our revenue continues to shift towards Diversified Manufacturing Services. I now ask you to refer to slides 12 and 13, where I will discuss fiscal ’13 and first quarter guidance. We enter fiscal 2013 with the backdrop of a challenging macroeconomic climate. Consistent with our strategy, we remain well positioned to continue the growth momentum by Diversified Manufacturing Services segment throughout the fiscal year. As a result, we would estimate year-over-year GAAP and core earnings per share growth to be in the range of 5% to 10% in fiscal ’13. The first quarter of fiscal 2013 we estimate revenue on a year-over-year basis to increase by approximately 2% in the range of $4.3 billion to $4.5 billion. GAAP operating income is estimated to be in the range of $140 million to $175 million or 3.3% to 3.9% of revenue. GAAP earnings per share are expected to be in the range of $0.37 to $0.50 on a per diluted share basis, with a diluted share count of 212 million shares. Based on current expectations the GAAP tax rate is expected to be 28%. Core operating income is estimated to be in the range of $170 million to $200 million and core operating margins in the range of 4% to 4.4%. Our core earnings per share are estimated to be in the range of $0.51 to $0.62 per diluted share. Based on the current estimates of production, the tax rate on core operating income is expected to be 22% for the fiscal year. Finally turning to our segments and the year-on-year performance, the Diversified Manufacturing Services segment is expected to increase 12%. The Enterprise & Infrastructure segment is expected to increase 14% on a year-over-year basis and finally our High Velocity segment is expected to decline 24% on a year-over-year basis. I’d now like to hand the call over to Tim Main.
Timothy L. Main: Thank you, Forbes. I will take a few minutes to discuss FQ4 results and near-term outlook. I will then pull back to a more macro view to address our long-term growth and margin range changes and our thoughts behind those changes. We are disappointed with our income and margin performance for the fourth quarter. We are ramping a large scale complex program within our Materials Technology Group. Although we expected challenges with the program during the startup phase, quality and efficiency levels, lagged behind our assumptions for the quarter. We intentionally widened our guidance range for FQ4 2012 in order to accommodate some expected inefficiencies during this ramp. For FQ4 ’12, our mix shift was also unfavorable as revenue was lower than expected in Diversified Manufacturing Services and higher than expected in High Velocity. Finally, income levels in certain DMS programs, notably in Defense and Clean Tech were lower than expected. We are very pleased with our cash flow performance for the quarter and for the year. We produced $442 million of cash flow from operations and $240 million of free cash flow in our fourth fiscal quarter. For the year, we produced $643 million in cash flow from operations, more than adequate to cover our capital expenditures and return $136 million in capital to shareholders. We are also very pleased to reduce inventory levels by over $100 million in the fourth quarter. As we reach more mature levels of production on new programs and as the balance of the business is stable to improving, we would expect operating income levels above $200 million per quarter in the second half of fiscal 2013. We would expect this to result in a fourth consecutive record year for Jabil in FY ’13. Turning toward our longer term outlook, we believe this is an appropriate time to review our long-term growth and margin targets for our three business groups. Looking back over the past three years, actual performance to our strategic plan has been very good. From FY 2010 through FY 2012, the Company has grown revenue and EPS at a compound annual growth rate of 13% and 55% respectively. In Diversified Manufacturing Services from fiscal ’10 through fiscal ‘12, we have posted a compound annual growth rate in revenue of 33%, while earning margins in the targeted range. In fiscal 2010, the DMS business was $4.2 billion in revenue. By 2012, we expanded the business by $3.3 billion to a total revenue level of $7.5 billion. DMS now comprises 45% of our total business and is our largest sector by far. So with that success, why change targets? For one, we’re working from a much larger revenue base and we’ve learned a few things about growing this business, particularly, in highly complex areas such as healthcare, for example. Balanced growth requires significant investment in engineering, design, quality resources, and capabilities. Our growth platform is premised on genuine differentiation, driven by unique capabilities. We will expand our capabilities and make the investments necessary to grow with a long-term view. Over the next few years, that could mean brief periods at the low end of the new margin range, followed by periods where we have a realistic opportunity to perform at the high end of the margin range, because we’re working from a larger revenue base and because individual program wins tend to be small, with long gestation periods and very long product cycles, we will target a 15% organic growth rate. You can expect us to make strategic acquisitions in this area, which could periodically drive growth above 15%. One note of exception to this formula is our Materials Technology Group. MTG remains poised for robust revenue growth above the 15% target for DMS. Growth will come from its core mobility business, as well as expansion in the healthcare and other strategic markets and initiatives. Turning to Enterprise & Infrastructure, for the three-year period from FY ’10 to FY ’12, we have posted the compound annual growth rate of 7.4%, while recently margins have gone under pressure, partly from poor performance in Europe and more recently slowing momentum in growth. It appears to us that this business is undergoing fundamental change. Businesses and governments are spending less on hardware and more on services and functionality. The reasons behind this go beyond a soft global economy and budget constraints. Computing, power, bandwidth, hardware technology have all advanced a great deal in recent years, further reducing the need for hardware spend. The movement in cloud computing is real and will continue. We believe Jabil will continue to play an important role with the world’s best customers in this business area. If spending picks-up, I think we would outperform the market, but with lower growth rates and standardization comes commoditization and lower margins. Our expectations are similar to the High Velocity sector. Again, I would expect Jabil to continue to play an important role with strategic customers in this area. In 2012 this business operated with a margin profile of 1.2% by focusing on lean manufacturing, new engagement models and focusing on fewer key customer relationships, financial performance improved significantly. We believe that improvement is sustainable over the next few years. Our growth and margin expectations for High Velocity and Enterprise & Infrastructure are converging into a similar range. We think this will be the natural direction for traditional EMS markets over the next few years. In the E&I High Velocity sectors we expect to drive strong cash flow and financial returns appropriate to risk. We will certainly focus intently on lean manufacturing, operational performance, service excellence and key customers. Over the next three years we will see Jabil move deeper and more aggressively into our DMS markets. If we continue to deliver on our strategic plan in this area Jabil should continue to set the bar for our industry. We will focus less on top-line and more on the quality of growth and bottom-line performance. For the Company overall delivering on our promise of quality, long-term growth will further strengthen the business and make Jabil a better supplier, employer, customer and investment.
Beth Walters: Operator, we are ready to now take Q&A from our call attendees.
Operator: Your first question comes from the line of Brian Alexander with Raymond James.
Brian Alexander - Raymond James: Thanks guys. Good afternoon. Could you just provide more color on the revenue range required to get to your EPS target of 5% to 10% growth for fiscal ’13, and specifically whether your expect to see operating margins expand and if so would that be more in the back half of the year?
Timothy L. Main: Well I think if you applied the new growth rates that we’ve given you at kind of the midpoint, Brian, it would be – that would give you some guidance into the mid $18 billion range. We’re getting off maybe to a little bit softer start. So, I think your revenue levels would be a little bit wide of that based on the current macro environment and that kind of thing. So, to kind of look at it that way, I think from a margin expectation standpoint, again, we’re starting off with a bit of a slow start in the first fiscal quarter in particular as we’re still handicapping in some underperformance in Specialized Services and continuing to mend our E&I performance in some of the other business areas. But as I said in my prepared remarks, I don’t think we’re far from quarters where the Company is earning well above $200 million per quarter in operating income. So, the back half of the year looks very good, similar to slightly up revenue levels. So, again, we started 2012, I went back and looked at the prepared slide presentation for 2012 the outset, we called for moderate revenue growth in 2012 -- fiscal 2012. We got that a little bit more. We started the year expecting a little bit better revenue growth than what we put up, but we think in looking at fiscal year ’13 given the growth opportunities we have in DMS and really kind of resetting the bar to a macroeconomic environment that we expect to continue to be somewhat lackluster. We think of 5% to 10% growth is very, very doable for us.
Brian Alexander - Raymond James: And then on DMS, I know you can’t talk about specific programs, but how comfortable are you that DMS margin is bottomed in the August quarter and how should we think about the progression from here? Thanks.
Timothy L. Main: Well, I think we moved back towards 6% pretty rapidly. I don’t know that we’ll be there in Q1. We’re still handicapping in some underperformance from DMS in Q1. But as we get into Q2, Q3 and Q4, I would expect us to be back in that 6% plus range.
Brian Alexander - Raymond James: Okay. Thanks a lot.
Operator: Your next question comes from the line of Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks a lot. Good afternoon guys. Maybe if I can ask a question on the DMS margin as well. Could you just maybe talk about if all the 120 basis points of degradation you saw in that segment on a sequential basis was that all driven by the yield issues or were there other factors that plays as well?
Timothy L. Main: The way I would handicap and not looking at that segment in particular, but kind of the Company overall, I think at $4.3 billion revenue level you would have expected us to be between $195 million and $200 million in operating income. So kind of walking back down from that level, call it about $10 million to $15 million due to the Specialized Services ramp, so inefficiencies associated with that, about $5 million associated with the mix change, negative mix change. Diversified Manufacturing Services revenue was down and High Velocity was up from expectations, so we called for 17% increase in Diversified Manufacturing Services and we put up 12%. We called for a 22% decline in High Velocity and it only declined 10%. So negative mix change there, another $5 million. And then Forbes mentioned some poor profitability in particular areas, particularly Clean Tech which has been soft with cutbacks in government spending that’s solar as well as some other areas, and Defense & Aerospace has been underperforming, so that’s another $5 million. So that accounts for the $20 million to $25 million of lack of margin performance.
Amit Daryanani - RBC Capital Markets: That’s very helpful. And then if I just look at the DMS sector outside of Specialized Services, the Industrial & Healthcare segment. I think they both were up about 3%, 4% year-over-year in 2012. Can you just talk about why did you see such muted growth in these segments and are you comfortable in the expectation of achieving a higher potentially double-digit growth within those segments in fiscal ’13?
Timothy L. Main: Our Industrial & Clean Tech marketing incorporates solar, and year-over-year revenue level was negative and declined over the course of the year purely industrial areas of the business grew in the low double-digits and so it was actually a lower growth year than we’ve had historically. But we’re really comfortable with our progress there and think the industrial area continues to be a very attractive area for us. I think longer term Clean Tech, if it doesn’t include solar, Clean Tech will continue to be all the energy related areas of industrial energy will continue to be attractive as well.
Amit Daryanani - RBC Capital Markets: And then just finally the $10 million to $15 million ramp-centric headwinds, I think your statements essentially imply that, that headwind will get smaller in Q1 and it should be fairly neutral by the time you get to Q2, Q3 timeframe. Is that the right way to think about that?
Timothy L. Main: I think we should exit Q1 with much better results. It’s just difficult for us to tell at this point how much recovery we will get in Q1 and I think by Q2 we should be kind of out of the woods.
Amit Daryanani - RBC Capital Markets: Fair enough. Thanks a lot.
Timothy L. Main: Okay.
Operator: Your next question comes from the line of Craig Hettenbach with Goldman Sachs.
Craig Hettenbach - Goldman, Sachs & Co.: Yes, thank you. Tim, on the E&I business understanding that it’s slower growth and that’s going to impact margins over time; any other levers to pull or strategies to potentially put in place maybe parallel to what you did in the HVS side of the business that might be able to help E&I margins over time?
Timothy L. Main: Yeah, I think it’s – I kind of indicated that a little bit, Craig, in the prepared comments that a little bit of a convergence between High Velocity, Enterprise & Infrastructure in terms of the market pressures and forces. They are very different businesses. Enterprise & Infrastructure is much more complex in terms of the services we provide. Order fulfillment, very complex logistics, very complicated products in some cases, a little bit higher mix than High Velocity. But that said, it seems to be kind of moving in the same general direction in terms of a traditional EMS marketplace, and we will apply the same kind of playbook that we used to improve profitability in High Velocity, focus on key customers, cutback on non-value add resources and investments that you at one time thought were strategic, but customers don’t actually use or want. Really focus on lean manufacturing, plant consolidation, the types of things that turned High Velocity from a sub 2% business to a plus 3% business. And I think we’re on that path. Enterprise & Infrastructure is also a little bit more material intensive. The products are more expensive. There is more material flow through the products. So the return on value add is still pretty good. But Craig, I think, that’s the right way to look at it, is that, we apply the playbook to High Velocity that we can also apply to Enterprise & Infrastructure, even though that’s a little bit more complicated business area by its nature.
Craig Hettenbach - Goldman, Sachs & Co.: Okay. And then just a follow-up on HVS business with the weakness in handsets; besides that can you just talk about the health of the business that you’re seeing in HVS and any potential growth drivers into fiscal ’13 by segment?
Timothy L. Main: Our business overall is pretty healthy. We have businesses in point of sale systems in printing, set-top boxes. Automotive has actually been a bright spot for us, we’re seeing pretty good growth in automotive today with great quality and great results, and high levels of customer satisfaction, so that’s an area we actually think we can grow. But overall those business areas will not show robust growth in terms of end-market activity, especially when you get into areas like set-top boxes it’s a – there’s some exposure there. So, now I think that 0% to 5% type of growth rate is appropriate. Printing business is very solid, great customer relationships there, so that feels pretty stable and pretty strong.
Craig Hettenbach - Goldman, Sachs & Co.: Okay. Thank you.
Timothy L. Main: Okay.
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research.
Shawn Harrison - Longbow Research: Hi, can you hear me?
Timothy L. Main: Yeah.
Shawn Harrison - Longbow Research: Okay, sorry. I just wanted to ask about DMS again, maybe in a different – thinking about it in a different way, the all-in growth is kind of low single-digits sequentially. Are you expecting negative growth near-term continued within the non-specialized businesses on a sequential basis or is it more kind of just flat going forward?
Timothy L. Main: I think that what we will see is growth in Healthcare & Instrumentation and Industrial & Clean Tech over the course of FY ’13, if that’s where you’re going with that question. Specialized Services will definitely pace growth for DMS throughout fiscal year ’13, the way it looks to us. But I think we’ll get recovery in growth, higher levels of growth particularly in the back half of FY ’13 in the healthcare and industrial areas.
Shawn Harrison - Longbow Research: Okay, but previously in the first two quarters of the year relatively soft growth?
Timothy L. Main: Relatively soft growth, yes.
Shawn Harrison - Longbow Research: Okay, and then just as a follow-up on the E&I business. You went through a things Tim in terms of just improving just the overall efficiency of the business, but I didn’t hear maybe any manufacturing consolidation efforts other than, I know the one that I guess is in place. Is there something that could be on the horizon in terms of that, and do you think by the end of the fiscal year you would be within the margin target laid out today for new business?
Timothy L. Main: I think by the end of the fiscal year we’ll definitely be in the margin target. I don’t – we presently do not anticipate any major plant restructurings or rationalizations to improve the profitability there.
Shawn Harrison - Longbow Research: Okay. Thanks so much.
Timothy L. Main: Okay.
Operator: Your next question comes from the line of Steven Fox with Cross Research.
Steven Fox - Cross Research: Thanks. Good afternoon. Two questions; first of all just going back over the MTG ramp that you’re talking about. Relative to what you thought it would be; how much is the inefficiencies caused by the actual scale of the ramp versus say issues within actually producing the component? And then within that Tim, what is your confidence level about getting the margins to where you thought they would be say three months ago, what has to go right and what do you have to fix? And then just secondly, Forbes, you’re talking about $1 billion of cash flow from operations versus the $660 million you just did on like 5% to 10% of earnings growth; what else flips to the $1 billion, is it easier comparisons or better working capital returns, et cetera. Thanks.
Timothy L. Main: Yeah. Sure, so, in terms of the first part of the question, I don’t want to get too close to the sum in terms of talking about individual programs, but it is both scale and complexity. But they’re pretty good at managing scales, so the complexity of the product is probably a bigger element. I feel good about the progress that’s being made, but realistically it’s going to take us over the course of the first fiscal quarter to really determine whether or not we will master the process to a level that will drive targeted margins and we have baked-in some of that uncertainty into our forecast. So, we’ve been through this before, now a couple of times and my – I believe that we will make it happen. But it is a significant scale, and probably one of the more complex products that we’ve ramped in the Company.
Forbes I.J. Alexander: And with regards to your cash flow question, yeah, we do anticipate $1 billion of operating cash flow next fiscal year based on our current estimates. And as I said in prepared remarks, we would expect the earnings per share without diving into specific guidance on core operating income, but earnings per share growth somewhere between 5% and 10% in fiscal ’13 over ’12, so that implies in expansion of margin and expansion in EBITDA in fiscal ’13 over ’12, which brings additional cash flow which brings additional cash flow. In addition to that it’s continued to focus on our working capital management. If you look at fiscal ’12, our inventory performance was pretty poor. Overall, it is very pleasing to see $100 million come out in the fourth quarter and with continued focus I think we can improve our inventory performance by certainly a couple days as we move through fiscal ’13. So I think continued expansion in EBITDA and inventory performance in ’13 gives us a real great shot of $1 billion in operating cash flow.
Steven Fox - Cross Research: Great, that’s very helpful. Thank you
Forbes I.J. Alexander: You’re welcome.
Operator: Your next question comes from the line of Wamsi Mohan with Bank of America.
Wamsi Mohan - Bank of America, Merrill Lynch: Yes, thank you. Tim, can you perhaps talk conceptually about the differences in the ramp in Specialized Services this time versus last? Clearly, you alluded to it being a more complex product this time the margins in DMS at 5.3% versus 6% last time. Should we not think that as you build something more complex that you are getting paid better for that product complexity that you’re able to deliver? I am just trying to reconcile that with the longer term move down in DMS segment margins. Thanks.
Timothy L. Main: Yeah, I think in terms of DMS margin profile, we’re not telegraphing hyper competitiveness in that segment. In fact, I think we’re pursuing areas where higher levels of differentiation are possible for us and doable for us in Healthcare and Industrial and in some of the other areas. We’ve taken a look back over the last few years and we’ve operated in the range of 6% to 8%, but at the low-end of that range. So continuing to have 8% is the upper level seems a little bit forced and frankly we want to go out and aggressively grow this area and I outlined in the prepared remarks, Wamsi. We’ve learned a few things in terms of the level of infrastructure that it takes, the engineering expertise that it takes. It’s a lot of small programs in Industrial & Healthcare that you need to win, and we don’t want to impede the business development prospects that our people have to aggressively grow the business. So the 5.5% bottom-end of the range isn’t telegraphing competition price are not getting paid; it’s telegraphing that that’s a very acceptable margin level in that business and telegraphing that we’re going to go aggressively grow and get deeper and deeper into the EMS areas and really look for more balanced growth. Our growth has been primarily driven, particularly in the last 12 months, by Specialized Services. We want to see better growth in Healthcare & Instrumentation and Industrial. And we need to balance that growth out across all three of those sectors. So we’re going to aggressively pursue that. And frankly, I think that 5.5% to 7% range, 8% may not have been achievable previously. I think we have a reasonable shot at driving the business to in certain periods into the closer to 7%. I think Forbes outlined that given the mix that we have here between E&I, High Velocity and the DMS margin structure, the Company can still put up 5% operating margin at the type of growth rates that we’re talking about. So, we still feel very good about that and our operating margin at 5% would be significantly above our – will be best-in-class. Our 6.3% EBITDA margins are already a couple of 100 basis points against similarly sized companies in our industry. So, we’re going to continue to really focus on margin expansion, cash flow generation, EBITDA margins and you know really running a really healthy business.
Wamsi Mohan - Bank of America, Merrill Lynch: Thanks for the color, I appreciate that. And Forbes, perhaps you could tell us, in the fourth quarter how much revenue was there from the three plus 10% customers in aggregate and individually?
Forbes I.J. Alexander: I don’t have that at hand. But in the fourth quarter, I believe there was one 10% customer.
Wamsi Mohan - Bank of America, Merrill Lynch: Okay. Thank you.
Operator: Your next question comes from the line of Amitabh Passi with UBS.
Amitabh Passi - UBS Investment Research: Hi, thank you. Can you hear me?
Timothy L. Main: Yes.
Forbes I.J. Alexander: Yes.
Amitabh Passi - UBS Investment Research: Tim, first question for you. Just on your E&I segment you’re guiding to 14% year-over-year growth. I think your long-term target is 0% to 5%. Should we assume 0% to 5% for fiscal ’13 and if that’s the case that would imply quite a bit of deceleration in the back-half. So just wanted to understand, what’s driving the strength in your first fiscal quarter and then how should we think about the progression through the rest of the year?
Timothy L. Main: I think it’s kind of an easy compare in terms of buckets. There will be some deceleration in growth over the latter-half of the year, but there is not a lot outstanding. It gets a little bit tough when you’re looking at year-over-year numbers. I don’t think that sequential performance is not quite at dramatic 3% growth on a sequential basis, so not huge growth.
Amitabh Passi - UBS Investment Research: Okay. And then maybe if I can just follow-up, just the operating margin ramp for E&I, how should we think of that progressing through the rest of the year? And then just on HVS what takes you back to the 2.5% to 3.5% range?
Timothy L. Main: Well we don’t have a margin progression for E&I. I think we’ll continue to see progress there. We provided that for the last couple of quarters and well frankly we missed the mark, and so we’re going to have to have some more diligent work there and I think we’ll make continued progress and by the end of the year certainly be in that – in the targeted range of 3% to 4%. I don’t think there was anything extraordinary that Amitabh that we would expect High Velocity margins to plummet from where they are today to 2.5%, but these are long-term targets and we are handicapping in potential changes in mix, not that we think they are going to happen, but they could. If for instance if mobility EMS revenue took off and made up a larger percentage of the overall High Velocity business that could have the impact of reducing margins. If things stayed as they’re today, then we would expect to continue to operate in that range. We don’t think it’s realistic to think that the High Velocity business area overall will stay at 3.8% level. Even though we’ve successfully done that all year, I don’t think it’s realistic to think that that’s a sustainable level long-term.
Amitabh Passi - UBS Investment Research: Okay, thank you. I appreciate it.
Operator: Your next question comes from the line of Matt Sheerin with Stifel Nicolaus.
Matthew Sheerin - Stifel, Nicolaus & Company, Inc.: Yes, thanks. A question on your DMS specifically the industrial and the solar customers. You talked about a charge last quarter from one of your distressed customers. Looking at that space and I know you’ve talked about having some controls in place and being more – perhaps more disciplined as you bring in more business, but looking at that space or do you see anything on the horizon in terms of other potential issues there?
Forbes I.J. Alexander: No, I don’t see potential other issues. It’s a very difficult space in the last three or four quarters – excuse me, last two or three quarters and I’m talking particularly about the solar space. I think a lot of OEMs are really struggling on a global basis be the European, Asian or North American domicile. So, it’s a tough marketplace and as I said, we’re changing our operating model to some degree in any of those relationships and being very, very cautious as we look into ’13 about further engagement in that space until we see a return on to – frankly financial performance and growth from these OEMs.
Timothy L. Main: The ironic thing is that panel volume is exploding. I mean it’s just – it’s really, I think last quarter, the last 12 months have been a record by a significant degree in terms of shipments. But the industry is going from what was kind of the techie start-up, lots of capital flowing into the business, so lots of startup companies in the industry to a very concentrated business that was attacked aggressively by particularly Chinese suppliers, and that really drove pricing down and polysilicon is in plentiful supply and the pricing has dropped. I think long-term to the extent that we can maintain the manufacturing capability and the process capability that we’ll be able to have a profitable business there longer term. But we’re going through this transition where these – over the last five years ago when all of the money really flowed into solar, these kind of techie start-up companies are just going out of business. I mean they don’t have the capacity, the scale, the investment to hang in there. So we’re going through a transition in customer base and I don’t think that we have – yeah, the way we look at it today I can’t – certainly couldn’t promise you that we won’t have anymore, but we don’t see any additional charges like that on the horizon. Hopefully we’ll be able to keep that manufacturing capability together and do business with successful companies in the future because the overall volume in that business is still increasing.
Matthew Sheerin - Stifel, Nicolaus & Company, Inc.: That was helpful. And then on the High Velocity business where you have that better than expected quarter. Did that come from any one specific customer, was it across the board? I know you’ve got some incremental revenue well potentially from a customer that has disengaged with some of your other EMS players. Was that part of it too?
Timothy L. Main: Yes, that’s the primary story. I mean we forecast it should be down 22%, it was down 10% I think something like that. So, that was really the consolidation of our mobility business which helped mitigate the downside in the quarter.
Matthew Sheerin - Stifel, Nicolaus & Company, Inc.: Okay, all right. Thank you, Tim.
Timothy L. Main: Okay.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva - Citigroup: Thank you there and congratulations to you and your team at Jabil. Can you just maybe help me better understand one last time the difference between the year-over-year sales growth both this quarter and the outlook that the year-over-year EPS decline were and you’re supposed to be going after higher profitable businesses. So are we attributable to this large ramp program, which seems like six months is a long time to resolve or can you just help clarify? You’d expect to see or hope to see maybe it comes in the future, year-over-year sales growth with margin accretion and EPS growth.
Timothy L. Main: I think we’d get to margin expansion and accretion and EPS growth particularly in the back-half of the year. Okay, it’s unusual for a program to extend over two quarters; it’s not really six months. Jim, that’s really kind of an impact over a couple of quarters. I kind of ticked through the various elements of where you might expect us to be at revenue level of $4.33 billion in Q4 and where we ended up $10 million to $15 million in Specialized Services because of the ramp. $5 million negative mix shift, $5 million in poor profitability in Defense and Aerospace, in Clean Tech areas. We think that meant we’ll see where the mix shift goes and we think over the course of Q1 and certainly Q2 we will hit targeted levels of efficiencies and quality in our Specialized Services Group. So we will look for a rebound in margin performance, particularly in Q2 through Q4, depending on revenue levels and levels of production. But we would look for rebound in margins over that period.
Forbes I.J. Alexander: I would also add, Jim, I have – in my prepared remarks I talked about continued capital investment this current fiscal quarter and the November quarter. So, we talked about last quarter additional floor space being available. That is now available and in the coming weeks, we will be laying down additional [comp] capacity to support these ramps. So, that does extend the complexity if you will across a couple of quarters.
Jim Suva - Citigroup: Then a quick follow-up maybe to Forbes, on the share count I think I hear you correctly say 210 or 212 and does your EPS outlook for both Q1 and the full-year include putting that stock buyback to work or would that be additional upside?
Forbes I.J. Alexander: So for the first fiscal quarter Jim its 212 million shares and that – again it does not include or contemplate the usage of $400 million of stock repurchase.
Jim Suva - Citigroup: Okay. The increase quarter-over-quarter that would just be some stock comp or something [than the resurrect of the] …?
Forbes I.J. Alexander: That’s correct.
Jim Suva - Citigroup: Great. Thank you ladies and gentlemen for your time. Thank you.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank.
Kevin LaBuz - Deutsche Bank: Hi. Thank you. This is Kevin LaBuz on behalf of Sherri. I just want to drill down into the E&I operating margins a little bit. If that business is at the low end of your long-term target range next year, so let’s say it’s flat, I’m wondering what do you think will happen to operating margins? What I’m interested in seeing is how much room you have on the cost side versus how much you have to see sales expand again to that targeted range?
Timothy L. Main: We are not counting on revenue growth to drive that improvement. We’ve lowered the revenue growth targets to 0% to 5%. That business is relatively stable as you can see from the sequential growth rate from Q4 to Q1. So we think kind of that business has bottomed out in terms of where it’s been in last year. I think year – in fiscal ’12 it actually contracted by 2% from fiscal ’11, that’s in spite of some very significant market share gains that we enjoyed in Storage and from Infrastructure businesses, but the overall macro environment as well as some of the things I mentioned and where hardware spend is going more than offset those market share gains. But it looks like things have bottomed out there and we look for a little bit – very modest 0% to 5% revenue growth over the course of the year. So the main lever there will be improving operational efficiency and performance.
Kevin LaBuz - Deutsche Bank: All right. Thank you. And just kind of on the large picture demand on the situation, last quarter you said demand was relatively stable, I believe the offset was lackluster. It sounds like you downgraded your assessment at this quarter. So, I am just wondering, what you saw between this quarter and last quarter that led to that new assessment?
Timothy L. Main: New assessment in which area?
Kevin LaBuz - Deutsche Bank: In terms of just general demand picture, it was stable – yeah, stable last quarter. This quarter it seems like it’s decreasing a bit. Just – what are you hearing from your customers and what are you seeing?
Timothy L. Main: I don’t think there is much incremental change. I mean, this – the overall environment definitely softened mid 2012. I think you saw that reflected in our results and our outlook for Q3 and Q4, relatively subdued outlook for Q1 although we’re calling for revenue growth $4.3 billion to $4.5 billion, which we will take a $100 million in incremental growth or $70 million whatever it is quarter-over-quarter. That’s better than contracting and there are really no incremental changes, there has just been no incremental positives. In my experience, generally quarter-to-quarter, there is a few negatives and a few positives and they kind of offset and things go on. Just recently there haven’t been many upsides. So, I don’t think anything has incrementally changed though and again, I’m not pessimistic at all. I think the overall environment is relatively stable. When I look at our business geographically, Asia and North America have done reasonably well in this environment. Europe has been very poor, very poor. So to the extent, Europe begins to bottom out, particularly, as it relates Enterprise & Infrastructure then I think our business will be poised for some pretty good growth in FY ’13, but we will have to see how that turns out.
Kevin LaBuz - Deutsche Bank: All right. Excellent. Thank you.
Timothy L. Main: Okay.
Operator: Thank you. You’ve reached your allotted time for questions. I’d now like to turn the floor back over to management for any closing remarks.
Beth Walters: Okay. Thank you very much for joining us on the call today. As always, we’re available for follow-up calls or questions you might have on the quarter, the fiscal year or our outlook. Thanks for joining us.
Operator: Thank you for participating in today’s conference. You may now disconnect.